Operator: Welcome to the Nice-Systems conference call discussing third quarter 2012 results and thank you for holding. All participants at present in listen-only mode, (Operator Instructions). As a reminder this conference is being recorded October 31, 2012. I would now like to turn the call over to Mr. Martin Cohen, Vice President, Investor Relations at NICE. Please go ahead Sir, thank you.
Marty Cohen: Thank you, Operator. With me on the call today are Zeevi Bregman, President and Chief Executive Officer. Dafna Gruber, Chief Financial Officer and Eran Liron, Executive Vice President, Corporate Development. Before we start, I would like to point out that some of the statements made on this call will constitute forward-looking statements, in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please be advised the company’s actual results could differ materially from these forward-looking statements. Additional information regarding the factors that could cause actual results or performance of the company to differ materially is contained in the section entitled Risk Factors in Item 3 of the company’s 2011 annual report on Form 20-F, is filed with the Securities and Exchange Commission on March 29, 2012. During today’s call, we will present a more detailed discussion of third quarter 2012 results and the company’s guidance for the fourth quarter and full year. Following our comments, there will be an opportunity for questions. Let me remind you that unless otherwise noted on this call, we will be commenting on our adjusted results of operations which differ in certain respects from Generally Accepted Accounting Principles as reflected mainly in accounting for acquisition related revenues and expenses, amortization of intangible assets and accounting for stock-based compensation. The difference between the non-GAAP adjusted results and the equivalent GAAP figures are detailed in today’s press release. With that, I now turn it over to Zeevi.
Zeevi Bregman: Thank you, Marty. And welcome everyone to our third quarter 2012 earning call. Once again, NICE reported quarter results. Non-GAAP total revenue were a record $221 million, up 10% compared to the third quarter of 2011. Non-GAAP EPS for the Q3 was a record $0.64, representing an increase of 19% compared to the third quarter of last year and ahead of the high end of our guidance range. Our book-to-bill ratio was slightly below 1 and our backlog remains strong at more than two quarters of revenue. We expect a strong fourth quarter for both booking and revenue, while the macro environment continue, to be challenging resulting in longer sales cycles, our Q4 pipeline is stronger than ever, and we are expecting a strong finish to the year and for 2012 to be another year for profitable growth for NICE. Much of our growth is driven by our analytics based solutions which help organization meet the challenges and opportunities presented to them by big data. With our analytics based solution, NICE is effectively addressing all four wheels of Big Data. Volume, velocity, variety and value. On volume, NICE Analytic Solutions analyze massive amount of structured and unstructured data. Our largest customer for interaction analytics is processing close to 200 million interactions per month. On velocity, NICE Analytic solutions are fast providing data analysis, positioning and guidance in the real time, giving our customer the ability to make an impact at the decisive moment, else the event occurs. On variety NICE analytics are cross channel, meaning its solutions analyzed data coming from multiple sources such as voice chat, email video, social media, web and financial transactions. On value, our solutions has a proven strong return on investment, by helping our customers in fraud prevention and efficiency, better adhere to compliance and regulations and hence the customer experience, and provide increased protection and security for people in assets. We continue to see further expansions of our analytics solution within our customer base. Moreover our analytic solutions, especially our real-time solutions, are becoming closely tied to the operations of our customers. They serve many functions within the organizations and touch many of the employees. Moving on to our customer interactions business, we see strong demands for analytics based solutions in the customer interaction space to help our customers. One, comply with regulations, two, help them improve internal operations, three, provide a better experience for the customers and four, combat fraud, which has become a high priority for our customers. On regulation, Dodd Frank is currently having a large impact around trading and consumer protection. And we expect it will continue to provide opportunities for us in the future as well. For trading operations, the sophisticated requirements for trade reconstruction and investigation led to a very strong booking in Q3. We closed many deals with top U.S banks and seek great opportunities to continue to extend our presence in this accounts, by up selling more compliance analytics. With this similar opportunities with financial institutions outside the U.S, where trading floors do business with the U.S. We find one such deal in Q3 with a major brokerage house whose European trading business regularly interact with its U.S. base trading business. And finally trading compliance for more than transactions what wasn’t another opportunity. One of the deals, this past quarter with a major U.S privilege house included a mobile component. Mobile recording began in Europe and is now expanding to the U.S. The compliance demand from contact centers are becoming more aligned with those seen for trading floors, as consumer financial protection regulation has far reaching duplication. Given that, keeping evidence for regulatory compliance is required by law, companies are about to think a 100% recording approach. Next, there are requirements such as validating the suitability of the financial offer clear and personal disclosure of support of the service term and to commendation of the offer made. These all addressed by our solutions abilities for reconstructing the chain of in interactions related to a specific transaction and providing the agent real-time guidance to ensure process adherence. Now let me move to another area, which is helping our customers improve internal operations and provide a better experience to their customers. This is being achieved with a full suite of cross channel analytic solution, from speech recognition analytics to in real-time guidance. The proof of the growing demand for this solution is evidenced by the increasing of customers expanding their analytics deployment to gather a larger part of their operations. One such deal I can mention was a seven digit deal with a major financial institution to implement analytics for around 10,000 agents. Analytics are still really under penetrated within 1000’s of our customers in the contact center space. The ----- 8:21___while there have been big investment to date around web security, the contact center has been somewhat neglected in this area, leaving it highly vulnerable to fraud. As a result, we are starting to see the next wave of anti-fraud investment being made in the contact center. We are capturing this opportunity with our contact center fraud prevention and notification solution. Our solution takes a real-time multi layered approach to fraud prevention. It too utilizes cutting edge voice biometrics to match the voice of the caller against the fraudsters watch list as a first layer of protection. Interaction analytics are used as a another layer of protection to identify fraud patterns and (inaudible) based on real-time speech analytics, emotion detection and analysis of agent desktop interaction. We are seeing active interest from customers globally for this solution. In the area of fraud, we have the strong competitive edge in our industry because we can provide customers with unique solutions that combine our expertise in both customer interaction and financial crime and compliance. Finally we recently announced an extension of our big date offering to a partnership with IBM. This extended offering is enhancing our abilities around Big Data analytics, in order to help companies leverage in the real-time the structured and non-structured data gathered from customer interaction that take place across multiple communication channel. Moving on to our financial crime and compliance business, the goal drivers remain strong and the pipeline is healthy. At the same time, we did experience a few instances that well, it took longer to close certain deals, and this led to slightly lower than expected Q3 revenues in this business. We remain confident about the strength of our financial crime and compliance business and expect a strong finish to the year. Last week, we hosted approximately 350 participants at our NICE Acitmize Annual Client Forum held in New York. Main sides of the customers and the industry analysts shared results clearly enforced our strategy enrollment. We also have seen good feedback on the Redkite acquisition, which I will elaborate on later. There were a lot of sessions covering cyber crime, if it becomes clear that the same technological changes that are enhancing convenience for the consumer, for eg, mobile application, emerging payment methods are also creating a visional exposure to risk and allowing more sophisticated fraud screen. We also heard a lot of discussions around cloud based financial crime and compliance solutions. Financial institutions have become more aseptic to SAP than in the past, thus reducing deployment time in lowering total cost of ownership have become more critical. While cloud based solutions have always been more accepted among mid market and smaller financial institutions, (inaudible) are also moving more to the cloud to compliment the main on premise installation with cloud ware solution for smaller and remote locations. We also have the law about broader and deeper regulations in all areas of our business. Fraud, which is starting to do draw more attention for regulator and email which remains an (inaudible) to recent increase enforcement and trading compliance where financial institutions faced additional regulations for real-time intra-day monitoring to support high frequency tradings. And speaking of cloud and trade compliance, this brings me to the acquisition we announced last week. The acquisition of Redkite will put us in a strong position to benefit from the adoption of cloud based trading surveillance and gives us the ability to immediately provide our customers with real time intra-day trade surveillance. Combining this technology with our leading enterprise trading compliance solutions suite and platform will greatly enhance our authoring and open up many more opportunities within and outside our customer base. As I mentioned our pipeline is strong across our solutions. We also continue to see good momentum in the mid-market. We believe that the upcoming deadline and subsequent enforcement of many of the new regulation will benefit our business even further in the mid-term. Let me move on to our security business, which is another strong booking quarter greater than 30% increase compared to Q3 2011. The increase in booking is resulting from the rapid technological changes that are deliberating not only financial crime but also other crime and terrorism risk. In today’s environment cyber space and mobile technologies prove significant challenges for government, as these technologies are being increasingly used as means for cyber crime, terrorism and other security threats. With NICE as unique technology and solutions around cyber intelligence and activate mobile location tracking and is coupled with a strong demand in the market has led good result in our government business. For example, in the past two quarters, we find two strategic 8 digit deal with prime agencies in developed countries related to this technology. In the surveillance business, we find in the third quarter, our first equation management deal with a major city in the U.S, which includes both situator and nice vision. We are providing solutions in the public safety domain to the majority of the allowed U.S safety. And this presents another opportunity to up sell our situation management solution. In closing our totalities around Big Data are ongoing, we continue to strengthen our domain leading position in big data analytics for sales of product development, strategic partnership and acquisitions. Our best-in-class, real-time analytic solutions provide our customers with the capabilities to better extract value from Big Data. This helps them to understand what is transpiring from within, across and outside of their organizations and to better support their mission-critical operations. This enables our customers to meet the challenges around compliance and regulation, fraud prevention, safety and security, and organizations’ needs to improve operations and enhance the customer experience amid rapidly increasing social media influence. Our broad offering of analytic solutions is where the future growth lies for NICE. I would like to thank the NICE team for their work in the quarter. I will now turn the call to Dafna Gruber, our CFO. Dafna?
Dafna Gruber: Thank you, Zeevi. I am pleased to provide you with an analysis of our financial results and business performance for the third quarter of 2012 and our outlook for the fourth quarter of the year. Revenue for the third quarter reached a record of $221 million, up 10% from $200 million in Q3 last year. Our enterprise business revenues totaled $171 million, up 13% from Q3 2011. Of that total, customer interaction revenues were $141 million and financial crime and compliance revenues were $30 million. Security revenues were $50 million, up 3% from $49 million in the third quarter of last year. Security revenue continues to be uneven from quarter-to-quarter due to the large project involved. Moving to the regional breakdown, revenues in the America in the third quarter of 2012 increased 6% to $135 million compared to the third quarter of last year. Revenue in Europe, Middle-East and Africa increased 11% to $55 million compared to Q3 of last year. And revenues from Asia-Pacific region were $31 million, up 28% from Q3 2011. For the third quarter, the America region accounted for 61% of total revenue, EMEA 25%, and APAC 14%. Product revenues in Q3 accounted for 42% of total revenues, while maintenance represented 37% of total revenues. Professional services, including software as a service and hosting, accounted for the remaining 21%. The 2012 third quarter gross margin reached 65.6% compared to 64.6% in Q3 last year. We continue to show sequential growth in margin. Our operating margin for the third quarter of 2012 was 19.1%. Q3 taxes benefited from the filing of certain income tax returned and reflected a favorable geographical mix in our income, leaving tax at $4 million or 9% of income. Third quarter of 2012 net income increased 15% to a record $39.7 million compared to $34.5 million in Q3 last year. Third quarter 2012 fully diluted earnings per share was a record $0.64, which was an increase of 19% compared to $0.54 in Q3 2011 and better than we had expected. The improvement in EPS is a combination of better-than-expected operating margin, lower tax expenses and continued positive impact from the share buyback plan. Cash flow from operation was $12 million in the third quarter. Our total cash and financial investment was approximately $422 million at the end of September 2012, with no debt. Headcount at the end of the third quarter totaled to 3,371 people compared to 2,993 last year and 3,125 at the end of December last year. During the third quarter, we also paid about $28 million to repurchase approximately 860,000 shares, as part of our share repurchase plan. In the first nine months of 2012, we repurchased a total of 2.7 million shares for $94 million. Last week, we completed the second $100 million program announced in November 2011. Our board has just approved the third buyback program to buy up to $100 million, which we will begin executing in Q4 and plan to continue throughout 2013. Since we began repurchasing in 2011 and up until now, we have bought back a total of approximately 6 million shares for $200 million and thereby reduced our share count by 9%. Turning to guidance, please note that both the fourth quarter and full-year guidance, taking into account the share buyback executed so far that exclude future buyback that may be executed going forward. We expect fourth quarter 2012 total revenue to be in the range of $237 million to $257 million and fully diluted earnings per share to be in the range of $0.64 to $0.69. We now expect total revenues for the full-year 2012 to be in the range of $890 million to $910 million and better-than-previously-expected fully diluted earnings per share to now be in the range of $2.41 and $2.46. That concludes my comment. I will now turn the call over to questions. Operator?
Operator: (Operator Instructions) Our first question is from Shaul Eyal of Oppenheimer & Co. Please go ahead.
Shaul Eyal - Oppenheimer & Co.: Thank you, operator. Good afternoon, Zeevi, Dafna, Marty. Two quick questions on mine. So, clearly seasonality has been playing in more, probably peacefully this year, kind of looking back at the second quarter guidance, but as you project back on the third quarter and looking into the fourth quarter, what are we seeing from a cash flow perspective, from a bookings perspective? And maybe it’s too early, but any initial thoughts on 2013 guidance at this stage?
Zeevi Bregman: As we clearly indicated, we are focusing a very strong fourth quarter in bookings, in revenues and also in cash flow. And you know, the seasonality, we always have Q4 and Q1, very strong cash flow and lower cash flow in Q2 and Q3. So, we expect strong Q4 in all financial parameters. As it relates to next year, we expect that next year will be another growth year for NICE. The exact magnitude of the growth, we will share at our next earnings call when we provide guidance for the year.
Shaul Eyal - Oppenheimer & Co.: Got it. And with respect to your kind of geographical breakdown this quarter, it seems to me that contrary to probably other companies in the text space and probably last quarter, Europe had seen kind of the little bit or has been staging a little bit of a comeback. Is that being driven, for example, by the eight-digit contract you announced just minutes ago on the deal or some other contracts basically coming back that were late from the second quarter?
Zeevi Bregman: So, the contract that we announced on the deal, we didn’t say that it’s new, and also we didn’t yet contribute in terms in a major way to our revenue. When we look at Europe, we see growth in Europe and we are happy to see growth in Europe, and we expect to continue to have growth in Europe. But when we are looking at the original growth, I think that we should look more at the year-to-date trend, unless in the quarterly trend, still it will show nice growth in our EMEA region, which is Europe and some emerging markets where we also saw some growth.
Shaul Eyal - Oppenheimer & Co.: Got it. Okay. Thank you very much for now.
Operator: Thank you very much for your questions. Our next question is from Daniel Ives with FBR. Please proceed with your question.
Daniel Ives - FBR: Yes, just for Q4, what type of closure rates are you looking at relative to historical in terms of guidance? And have you factored below average, normal than just what we have seen over the last few quarters to have an understanding?
Zeevi Bregman: The way we look is we are looking at our pipeline and analyzing the pipeline. Some of the adjustment of the conversion rate in the pipeline was done by our sales force, as they are already done by our sales forces, now looking in a more diligent way at different deals and that it was done by our model, by changing the model of closure rate.
Daniel Ives - FBR: Okay. So, Q4 already reflects like, you know, to have more conservative closure rate than we have seen historically?
Zeevi Bregman: That is our assumption.
Daniel Ives - FBR: Okay. Just could you talk – when you talk about the pipelines on the security deals, specifically on the larger ones, I mean, where are we? I mean, obviously you are not going to give numbers, but are we getting closer now that you have had some success, but are we starting to closer to see more of these deals come through, maybe just anecdotally talk about where we are in the sales cycle in some of the larger security deals?
Zeevi Bregman: We always said about our security deal that this is a lumpy business, and therefore we have to be careful. We were very successful at the first three quarters of the year in terms of securing a deal and then increasing the booking and we are very happy for it. We have a lot of large deals in the pipeline. It’s very difficult to focus when this deal will close. We have our model, but this is the part that is most difficult to us to model within our pipeline. So, the large security deals, we have a very healthy pipeline there. In terms of closure rate, it’s very lumpy.
Daniel Ives - FBR: Good, thanks.
Operator: Thank you very much for your questions. Our next question is from the line of Mr. Daniel Meron of RBC Capital Markets. Please proceed.
Daniel Meron - RBC Capital Markets: Hi, Zeevi, Dafna, and Marty. Couple of questions on my end. First of all, can you give us a sense on the regional dynamics that you are seeing right now as far as demand per solution group. I mean, is securities seeing better trends in Asia-Pacific and Americas versus Europe or am I seeing a little bit better closure rates in the Europe or Americas right now? If you can just give us a little bit more product line, thank you. 
Zeevi Bregman: So, maybe we will look at the – we will try to give more color on the regional basis. Overall, we look at our market, overall, the U.S. market is a more sophisticated market, and therefore, usually the pipeline for analytics base, the advanced analytics base application is usually stronger in America. Well, we are really deploying innovation wherein in the rest of the business, we are seeing more end market and larger demand to those applications, but also to our traditional business. When we look at the pipeline generally, we see a very strong pipeline to our analytics applications across the globe. And when we come to Actimize, there are few differences because part of the regulation is global. Banks that trade with the U.S. have to comply with U.S. regulations, but part of the trends and part of the drivers are local regulations. For example, part of our demand right now in the European market is driven by the – internal regulation for intra-day trading and which is obviously Europe specific, it does not exist in America. We believe that it will, at some point, will be implemented in America, but it will take time. When it comes to security, on the large deals we have pipeline across the board and since we are talking about large deals diving regional behavior on the deals will not lead to any accurate conclusions. The cyber security solution that we are providing are more going to be sophisticated in developed countries, while the basic monitoring solutions are going to be in emerging markets.
Daniel Meron - RBC Capital Markets: That’s very helpful, Zeevi. And maybe Dafna, on the guidance, just trying to clarify something here. The range that you provided for the fourth quarter is about plus or minus $10 million to both ends versus a typical $4 million, or even $5 million that you’ve typically provided. Is there anything to read into that? Is it because of the seasonality or any major deals that may swing chapters here?
Dafna Gruber: Yes. While we enter Q4 it’s global assets, so we expect a very strong bookings and as a result also good improvement, good increase in revenues, and the pipeline is very big. The range is actually a reflection of whether it’s going to be a very good or excellent quarter. There is a wide range because there is still the risk environment around us, the macro economy that might impact and we preserve to take a more conservative assumption.
Daniel Meron - RBC Capital Markets: Okay, that’s helpful. And then just to follow-up on that, can you provide us with a little bit color on the linearity in this third quarter?
Dafna Gruber: Usually, in terms of booking there is certain linearity. In the last month of the quarter we generated larger proportion of the business and that’s pretty consistent in all our other quarters.
Zeevi Bregman: Q4 may be a bit more than usual because of the summer holidays that are taking place in many parts of the world.
Daniel Meron - RBC Capital Markets: Okay, I understood. Thank you. Good luck.
Dafna Gruber: Thank you.
Zeevi Bregman: Operator, next question?
Operator: Certainly, thank you. Our next question is from the line of Shyam Patil of Raymond James & Associates, please go ahead. Thank you.
Shyam Patil - Raymond James & Associates: Hi, thank you. When we look at kind of the guidance for the year, it seems like you are expecting mid-single-digit organic growth. When you look out for next year, I know you are not giving guidance, but do you think it’s realistic to get back up to say double-digit organic growth, or is that possible in the current environment?
Zeevi Bregman: Our model is to be in two-digit organic growth. This is where we are aiming, this is where our plan. There might be some gaps in certain periods but this is our plan and this is remaining to be our plan. In terms of next year, we basically said, we believe that it’s going to be a year for growth. The extent of the growth is something that we will share in the next earnings call.
Shyam Patil - Raymond James & Associates: Got it, okay. And then on Actimize, can you talk a little bit about what’s going on here? What impacted the revenues, it seems like it’s down sequentially, and maybe your view as well? How Redkite fits in with the current business?
Zeevi Bregman: First, Actimize, the result this quarter was below our expectations. We do see an increase on the booking on a year-over-year -- a nice double-digit growth from the booking year-over-year. We believe that the business is expected to grow in a double-digit pace. We are expecting also a very strong Q4 in Actimize. In terms of this year, we have a possibility to reach double-digit growth. We might end up in high single-digit. In terms of the overall business, what happened in Actimize is that it took us longer to close some deal. Some of them already are being won and are being closed as we speak. We are confident about the momentum in this business as evident by the last week client conference which was well attended and with a lot of traction. In terms of Redkite, what Redkite provides, it provides us several things that are complementing our offering. One is the ability to provide a cloud-based offering, which will reduce the deployment time for new regulations to our clients, which is something that they are really aspiring to. It provides them the ability to deal with country-specific regulations in different countries around the world to support the global operations, while maintaining corporate processes and compensate other side on the regulation implementation. It provides us to access the mid-market. It provides us with capabilities to deal with emerging trend of regulation to deal with high frequency trading, which requires things like intra-day that the technology of Redkite is providing us. We overall believe that this complementing our offering in our technologies, (inaudible) and we believe that it’s going to be a very strategic integration in our compliance business and we are looking forward to serve our customers and new customers with these features and capabilities.
Shyam Patil - Raymond James & Associates: Thanks. That was helpful. And then just a couple of quick ones for Dafna. Dafna, how should we think about the gross margins in the fourth quarter and the tax rate as well, maybe in the fourth quarter and beyond?
Dafna Gruber: Yes. So, regarding gross margin, our gross margin range is between 65% to 66%, sometimes a bit higher than that and that should be the range for margin going forward. Regarding taxes, we had a one-time phenomenon this quarter where taxes were substantially lower than the usual one and the best thing to do in terms of modeling is go back to the range that we had before 17%, 18%. We are currently walking on our assumption and our overall tax planning and we will come up and update on probably – we’ll probably make ourselves change to this model next quarter.
Shyam Patil - Raymond James & Associates: Okay, thank you.
Operator: Thank you for your questions. Our next is from the line of Jonathan Ho of William Blair, please go ahead with your questions. Thank you.
Jonathan Ho - William Blair: Good morning, guys. Just in terms of the deals that you saw this quarter, did you see a significant number that got pushed out in your core enterprise business, as well, just given that you said the book to bill was below 1 and yet it seems like the bookings were pretty strong in security and Actimize?
Zeevi Bregman: We are measuring every quarter of the year. Deals that were pushed out from the quarter to the following quarter. There is a large number of deals. It is pretty much at the same level that it was around Q2.
Jonathan Ho - William Blair: Got it. Just in terms of the cloud-based opportunity that you guys talked about, can you give us a sense of how quickly that’s growing and perhaps how bigger that opportunity you see that as being longer term?
Zeevi Bregman: We believe that the SaaS is going to be a growing area in our offering and will grow over year. If you look at the model SaaS the revenue recognition is taking longer. So, when it comes to growth, the deals that are coming, are coming in a few quarters and not in a single quarter the deals that we are winning. We believe that it’s going to be an increasingly important part of our offering and we believe that this is an area that we will see growth over time.
Jonathan Ho - William Blair: Got it, thank you.
Zeevi Bregman: Operator, any more questions?
Operator: Thank you for your question. Our next question is from the line of Brian Ruttenbur of CRT Capital, please go ahead. Thank you.
Brian Ruttenbur - CRT Capital: Thanks very much. I want to talk a little bit about European sales and the outlook. If you could address that, specifically, what you are seeing in terms of the different divisions in Europe, where there is slowdown made by customer type, or where there is a pickup especially since last quarter, what are you seeing? I am trying to understand trends since last quarter, there seemed to be drag in Europe and where you have seen a pickup?
Zeevi Bregman: We are serving a small part of the market and for us to provide the macroeconomic trend is above our position within the market that we serve. All over Europe, we have seen a strong in Europe. When we discuss the situation with customers we see stability in terms of the situation, we don’t see deterioration, we also cannot really say that there is an improvement, but we also cannot say that there is a clear deterioration, but this is from where we look at the market. We should remember that our EMEA business, part of it is southern Europe, but it’s only part, it’s central Europe and northern Europe, and the eastern Europe, and Africa and Middle East as well, which are less impacted by the macro economy that we are all reading about in the newspapers. So, this is overall European trends in terms of – it’s also difficult for us to speak about specific sectors within Europe.
Brian Ruttenbur - CRT Capital: Okay. Can you talk about at least since quarter where you had some weakness in Europe and where you are seeing strength this quarter versus last quarter?
Zeevi Bregman: First, we didn’t see weakness in Europe. Overall, we are seeing weakness, not also in Europe. We didn’t say that’s specifically in Europe. We said there is a weakness, but we don’t see weakness in A-Pac. So, I don’t think we categorize specifically in eastern Europe in the last quarter. In terms of changes, there is a certain improvement in terms of – revenues. Once again, I think that – I really recommend that you will look at the year-to-date figures for the different regions to analyze trends and not to make quarterly trends.
Brian Ruttenbur - CRT Capital: Okay. And then just as a follow-up on the security side of the business, can you talk about geography, or by government versus civilian customer, have you seen any slowdown or pickup in any of the countries on the government side, abnormally slow or abnormally strong in this time of the year?
Zeevi Bregman: We are operating on the security on a global basis. On the whole there are different – each country is a cosmo side sell (inaudible). There are some political changes that are changing in different countries and this is part of the lumpiness in this business and part of the reason why it’s very difficult to predict it going forward. Therefore, it’s not the place to speak about the trends, right? We are seeing demand. As I said before, cyber security, sophisticated solutions in the developed countries we are seeing demand for our monitoring equipment and situation management in the developed countries. And basically, it can change from the timing of project, can change from one company to another and even within the same region.
Brian Ruttenbur - CRT Capital: Great, thank you very much. 
Operator: Thank you very much for your questions. Next question is from the line of Michael Kim of Imperial Capital. Please go ahead, thank you.
Michael Kim - Imperial Capital: Hi, just turning back to security, are you seeing some expanded opportunities with other major cities for situation management, and was that the primary driver of the strong bookings in the quarter for security?
Zeevi Bregman: For the way that the city deals in security are growing that the initial deal is relatively, we can define it as a mid-size and then there is potential for expansion. So, this is not what – this is a deal, which is significant deal more by its strategic than by its revenue value. But we believe that the revenue will come in the future. As we are currently with our public safety offering, we are present in -- the majority of the U.S., top 80 or top 100 networks. And this is clear upside opportunity for us in this account.
Michael Kim - Imperial Capital: And in general, for security, are the deals becoming a bit larger, how is that changing the sales cycle or the closure rates for security?
Zeevi Bregman: Obviously, the deals are becoming, the security deals are becoming larger and more sophisticated. This means that – but we still are enjoying a lot of business, which is relatively small deals and expansions. Obviously, when we are talking about more sophisticated application and more sophisticated solutions, the third cycle is a bit longer as more budget is required, the full value is little tight there and the evaluation is more – so, the deal is taking longer. This is the reality that we are experiencing for the last few years.
Michael Kim - Imperial Capital: And are you seeing any diversions between the developed markets and the emerging markets, given the sophistication of the solutions?
Zeevi Bregman: That’s what we are seeing. Cleary, in the developed market, people are looking for more sophisticated solutions. In the emerging market, there is a demand for the sophisticated solution, but there is also still very strong demand for basic solutions.
Michael Kim - Imperial Capital: And then, just one on guidance for the fourth quarter, is it your expectation that the mix in the quarter will be fairly similar into 3Q or it sounds like Actimize might be a little heavier within that mix?
Zeevi Bregman: Overall, the pattern of large deals in the fourth quarter apply more to organization than it applies to governments. And therefore, we do expect a stronger – that the jump in the bookings will come from our enterprise customers, either in the customer service or in the Actimize. On the bookings side, part of the growth is coming from our existing customers as maintenance contracts are also for renewal during this quarter, which reflects the bookings. So, overall, we believe it will be a (inaudible) maybe more with our, in all our enterprise domain and then in security, but it will be costs above that.
Michael Kim - Imperial Capital: Okay, great. Thank you very much.
Operator: Thank you, ladies and gentlemen for your questions. That concludes the Q&A session for now. I would now like to turn the call over to Mr. Zeevi Bregman for closing remarks. Thank you.
Zeevi Bregman: Thank you everyone for joining us today and have a nice day. Thank you.
Operator: Thank you very much, ladies and gentlemen. That concludes today’s conference call. You may now disconnect your lines. Have a good day. Thank you.